Operator: Good day, everyone, and welcome to the Blucora Second Quarter 2014 Earnings Results Conference Call. This call is being recorded. With us today from the company is the Chief Executive Officer, Bill Ruckelshaus; Chief Financial Officer, Eric Emans; and the Senior Director of Investor Relations, Stacy Ybarra. At this time, I would like to turn the call over to Stacy Ybarra. Please go ahead, ma'am.
Stacy Ybarra: Good afternoon, and welcome to Blucora's investor conference call to discuss second quarter earnings. Before we begin, I'd like to remind you that during the course of this call, Blucora representatives will make forward-looking statements including, but not limited to, statements regarding Blucora's expectations about its products and services, outlook for the future of our business and growth initiatives and anticipated financial performance for the third quarter and future period. Other statements that refer to our beliefs, plans, expectations or intentions, which may be made in response to questions, are also forward-looking statements for purposes of the Safe Harbor provided by the Private Securities Litigation Reform Act. Because these statements pertain to future events, they are subject to various risks and uncertainties, and actual results could differ materially from our current expectations and beliefs. Factors that could cause or contribute to such differences include, but are not limited to, the risks and other factors discussed in Blucora's most recent quarterly report on Form 10-Q, on file with the Securities and Exchange Commission. Blucora assumes no obligation to update any forward-looking statements, which speak only as the date the statement is made. In addition, during this call, our management will discuss GAAP and non-GAAP financial measures. In the press release, which has been posted on our website and filed with the SEC on Form 8-K, we present GAAP and non-GAAP results along with the reconciliation table and the reason for our presentation of non-GAAP information. We've also provided supplemental information to our results in the Investor Relations section of our corporate website at www.blucora.com and filed with the SEC on Form 8-K. Now I'll turn the call over to Bill Ruckelshaus. Following his comments, Eric Emans will review second quarter results and third quarter outlook. Then we'll open up the call to your questions.
William J. Ruckelshaus: Thanks, Stacy, and good afternoon. In the second quarter, Blucora performed consistent with our expectations. Our teams executed and posted solid results. To update, I'll start with Tax Preparation. TaxACT completed the tax season in Q2 and finished strong. Revenue was up 17% for the quarter and 13% full season, reflecting balanced growth in filings and ARPU gains through pricing upsell and attach. Segment income increased 19% and 21% during the same period on improved marketing efficiency and operating leverage. We acquired TaxACT in early 2012. Since that time, we have partnered with their talented team to identify opportunities, invest with a multi-year view and grow the business. We are pleased with the track record thus far. Consecutive seasons of solid execution, strong financial performance and consistent product innovation. In the 2 full seasons since our acquisition, the results are impressive. Consumer e-files are up 13% overall, outpacing the market. Paid professional e-files are up 25%, also outpacing the market. Consumer tax ARPU is up 10% and contribution from ancillary products is up 40%. On the product front, TaxACT's new offerings in mobile, including an award-winning tablet application, and TaxACT Express, allowing fast free filing of federal taxes from a smartphone, have been well received and position TaxACT to stay in front of filers as demographics change and digital habits evolve. As the value leader in the growing DDIY market, TaxACT is just getting started. We are finalizing our plans for next season and see numerous opportunities for profitable growth and further innovation. Moving now to search and content. InfoSpace performed according to our expectations in the quarter. The team made progress addressing challenges and continues to navigate changes. Let me start by recapping events to provide some context. The Search market has grown progressively more difficult, dating back to late 2012, due to a stream of browser updates, policy changes and the steady shift from desktop to mobile. On top of this, InfoSpace faced its own challenges, additionally, in 2014, most notably the following: number one, a technology change with our search engine partners that disrupted our WebCrawler property; and number two, the removal of Google from our mobile results. Together, these dynamics, combined with the market challenges, contributed to sharply declining revenue and profitability in the first half of 2014. Our business has reset very quickly from performance levels in late 2013, but it has reset. Exiting Q2, we are seeing signs of stabilization of WebCrawler and now believe the technology change issues are largely behind us. WebCrawler marketing efficiency continues to be challenged, but we see clear opportunities to profitably promote meta search going forward. On the mobile front, removing Google has impacted performance, but we have a viable search offering in Yahoo! and are actively testing additional partner feeds to enhance results and improve revenue yield on smartphones and tablets. Our distribution partners continue to struggle in the face of a challenging market environment, but we do have partners that are growing, both new and existing, and we will work to strengthen these relationships going forward. There will be lingering impacts from these transitions, but we now expect the first half of 2014 to represent a significant performance step-down period. We are bringing stability to this business by emphasizing our core strengths, aggregating multiple content sources, developing compeller user experiences and delivering superior monetization, while strengthening our search results in mobile, offsetting distribution declines with new partners and continuing marketing and investment in our owned and operated sites like WebCrawler and HowStuffWorks. Speaking of which, we closed the HowStuffWorks acquisition in the quarter and are pleased to welcome their talented team to Blucora. HowStuffWorks has a large, engaged and increasingly mobile audience. Visitors come to HowStuffWorks for information, entertainment and learning. We see opportunities to ramp content production, boost distribution through marketing and social syndication, and increase direct and indirect advertising revenue. Our early initiatives here will carry some investment as Eric will speak to in our Q3 guidance. HowStuffWorks is a strategic addition to InfoSpace and brings growth opportunity for us in the future. We are encouraged by the progress the InfoSpace team has made in addressing near-term challenges and positioning the company for stability going forward. Now turning to E-Commerce. Monoprice performed above our expectations in the quarter with top line growth of 5% and contribution growth of 12% from the prior year period. We continue to experience slowing repeat traffic on the B2C side and moderated our marketing spend to a more profitable place overall. Our long view with the Monoprice business is unchanged. Monoprice delights customers in consumer electronics through quality gear, fair prices and great service. Last quarter, we welcome Bernard Luthi as President of Monoprice. Bernard brings deep expertise in consumer electronics and online retailing. His operating discipline and marketing skills make him the right leader to grow and expand Monoprice going forward. Looking ahead, we will remain conservative in our guidance as we continue to make needed investments in people, process and systems to better execute. In summary, Blucora remains well positioned overall. Our strong balance sheet provides the ability to maneuver through challenges and the flexibility to make operating investments and pursue acquisitions with discipline. With that, I'll turn the call over to Eric for more details on the financials.
Eric M. Emans: Thanks, Bill. Consolidated revenue for the second quarter was $141.6 million, up 21% versus prior year and adjusted EBITDA was $29.8 million, up 2%. Non-GAAP net income was $23.9 million or $0.55 per diluted share, and GAAP net income was $8.7 million or $0.20 per diluted share. As a reminder, second quarter 2014 year-over-year comparisons benefited from the inclusion of Monoprice. We exited the second quarter with cash, cash equivalents and short-term investments of $278.6 million and net cash of $12 million. These totals reflect share repurchases during the quarter of 1.4 million shares for $25.7 million. Now let's walk through our second quarter segment performance beginning with Tax Preparation. Revenue for the quarter was $26.5 million and segment income was $17.2 million for a segment margin of 65%, which exceeded our expectations. Putting these results into the context of tax season, which for financial purposes, is the first half of 2014, revenue was up $98.7 million, up 13% versus the comparable prior period and segment income was $54.6 million, up 21% for a segment margin of 55%. Revenue growth on the consumer side was driven by ARPU gains of roughly 7% and DDIY e-file growth of 5%. ARPU gains came in the form of modest pricing adjustments, software product mix shifts and improved add-on product attach rates. We also generated year-on-year revenue growth in both DDIY small business and tax professional software offerings. Notably, e-files for our professional software were up 12%. Segment income growth for the first half of 2014 reflects revenue gains and marketing efficiencies. Marketing was up roughly 1% versus prior year as we lowered cost per acquisition and our core consumer software offering. Looking to the second half of 2014, we expect revenues of $4.5 million to $5 million and a segment loss of $5.5 million to $6 million. Revenue will be slightly weighted towards the fourth quarter, while the loss will be more weighted, approximately 60%, towards the fourth quarter as we begin to ramp for next year's tax season. For the full year, we expect Tax Preparation revenue to be $103 million to $103.5 million at a segment margin of approximately 47%. Turning to our Search and Content segment, which has been renamed following the completion of our acquisition of HowStuffWorks on May 30. Revenue for the quarter was $79.8 million and segment income was $14 million, down 16% and 22%, respectively, from prior year. Revenue performance was in line with our expectations, while segment margin exceeded at roughly 18%. Owned and operated revenue was down 5% versus prior year due to attrition in our legacy destination search sites, which was partially offset by revenue growth from acquiring users to our WebCrawler site, as well as certain partner sites. On a sequential basis, owned and operated revenue was down 42%. As discussed, WebCrawler was significantly impacted by a technology change implemented in late February. While we believe we have addressed the technology-related issues and stabilized the business, we continue to optimize and adapt to an evolving landscape, which we expect to continue to cause some margin volatility that will likely settle out over the back half of the year. Distribution revenue was down 17% versus second quarter 2013 and down 21%, sequentially. Existing partner revenue was down 14% versus prior year and new partner revenue was $1.2 million versus $4.7 million in the second quarter 2013. As Bill discussed, market dynamics continue to challenge our partners. In the second quarter, we experienced monthly sequential declines that present headwinds as we navigate the third quarter. Turning to the third quarter. We expect revenue of $73 million to $81 million and segment margin of 14.5% to 15.5%. The expected sequential margin compression, in part, is due to integrating and onboarding of HowStuffWorks, which we expect to have a temporary impact. Closing on the Search and Content segment, the business is in the midst of a transition that may extend beyond the third quarter. As a result, our current view of fourth quarter performance is roughly in line with the high end of our third quarter guidance. Our objectives in managing through transitions are clear, focused execution and disciplined investment in areas that we believe provide values to users and advertisers and produce stable results. We believe this is a prudent approach given current market dynamics. With that, let's move on to E-Commerce. Revenue for the second quarter was $35.3 million and segment income was $2.4 million for a segment margin of approximately 7%. [indiscernible] margin was impacted by $1.2 million nonrecurring cash charge. Normalizing for this, segment income was $3.6 million or a margin of approximately 10%. Revenue on a pro forma basis was up approximately 5% consistent with expectations. Normalized segment margin was down approximately 100 basis points, which is better than expected. Year-on-year revenue growth reflects a 13% increase in average order value, offset by a 7% decline in order volume. As Bill noted, we continue to be conservative in our forward expectations. And for the third quarter, we expect revenue growth in the low- to mid-single-digits and segment margins in the 8% to 9% range. Moving to unallocated corporate expenses. Second quarter came in at $3.8 million, and we expect third quarter cost to be a bit north of $4 million. Closing with our consolidated third quarter expectations. We expect consolidated revenue between $112.5 million and $122.5 million, adjusted EBITDA between $7 million and $10 million, non-GAAP net income of $3.2 million to $6 million or $0.07 to $0.14 per diluted share, and net loss of $6.3 million to $4.2 million or a $0.15 to $0.10 loss per share. With that, let's return the call over to the operator, and we will take your questions.
Operator: [Operator Instructions] Our first question comes from Dan Kurnos with Benchmark.
Daniel Louis Kurnos - The Benchmark Company, LLC, Research Division: Let's start with the Search and Content segments. And first, just Eric, maybe some color on the impact of HowStuffWorks on the guidance would be helpful.
Eric M. Emans: Dan, sure. Look, we're not going to break out HowStuffWorks specifically. It is still fairly immaterial to our overall results and expect it to do -- be so during the back half of the year. As we said when we acquired the business, we expect it to be accretive. But there is some ramping as we look to integrate this and transition it out of Discover and make some initial investments to get it up and running. We're going to run it a little differently than it had been run in the past, as specifically focusing on some investments in content, as well as some different ad models. So it's going to take a little bit to get that up to speed, but I do think it's some growth we'll be able to talk about in the future. But quite frankly, for the back half of the year, it's not a material story.
Daniel Louis Kurnos - The Benchmark Company, LLC, Research Division: So then, the 2 bigger questions. First on O&O, you talked about the significant step-down on -- because of WebCrawler. It sounds like -- I know you talked about the business stabilizing, it sounds like you're investing in customer acquisition again. How aggressive do you think you're going to be understanding that the environment is still a bit disrupted, if you will? And how long before we could see more meaningful improvement in the O&O business?
William J. Ruckelshaus: Yes, so this is Bill. I'll take that one. So as we talked about in May, and I think even dating back to our February call, the changes that we're now addressing in the Search business, in part, have to do with the removal of Google from our mobile results, but also, a technology issue we were having earlier in the year very specifically with WebCrawler. We think we're largely resolved as it relates to the technology issue, the new realities as it relates to economics in the acquisition effort and promoting meta search as it relates to mobile, particularly, I think we're still adjusting to. And it is somewhat volatile, but it would certainly be our expectation that we could continue to actively promote that product.
Daniel Louis Kurnos - The Benchmark Company, LLC, Research Division: And to press you a little bit more on the mobile issue, Bill. I know that you've got Yahoo! Mobile as sort of a backup. We had talked when you lost the Google mobile contract that there could be some optimization within mobile. Maybe talk a little bit about how those efforts are going. And you did mention, I think, some other potential partnerships that you could press to try to recover some of that lost revenue. Any additional color would be helpful.
William J. Ruckelshaus: Yes. So I think, just as I said in the beginning remarks, we do have a viable mobile solution with Yahoo! and we are in discussions with other content providers, other ad feed providers that can be paired with Yahoo! to create a very rich mobile experience and one that also we expect will generate revenue for us. It has been a transition in removing Google and identifying partners that we can now complement with Yahoo! And it would fall into different categories. So I would say, it could potentially be search, but it could also be other categories like pay per call, or native or shopping. And very likely, will involve many of those together, depending on the nature of the query.
Daniel Louis Kurnos - The Benchmark Company, LLC, Research Division: Great. And obviously on the distributed side, Chrome 36 is the topic de jure and I'd love to hear your thoughts on how that's impacting your partners and just maybe some clarification. It sounds like from your guidance that Q3 is going to be the overall bottom for search. But maybe split that up, do you still expect sequential declines in distributed with some recovery in O&O? Is that the right way to think about it?
Eric M. Emans: Dan, it's Eric. I would say that, first of all, the downloadable story for us kind of dates back to the beginning of 2013, where we implemented the initial Google policy changes and I would say from that, we've seen a drop in concentration of partners that have that business model. Now it still represents a meaningful amount to our overall revenue composition, but it is part of the benefit -- although it seems like, overall, our distribution business is under pressure, but part of the benefit of having a diversified network. And so, certainly, that entire business has been under pressure for, basically, dating back to second quarter 2013. And we're working with partners and working with our search engine partners to find good ways to approach the market where our distribution partners can find the lifetime values that they feel comfortable investing the capital. But we have seen sequential declines and did see them during the quarter. I think the good news about the DLA space, if anything, is it's really not susceptible to the mobile changes, but unfortunately, for it is a susceptible to kind of a steady stream of kind of policy updates and browser updates and Chrome 36 being the latest one. So certainly, our guidance contemplates the risk there, and we are talking to our partners and we've been talking very early to our partners of how they're going to adapt, and we have a lot of confidence that they'll be able to. But given that it is a B2B business and our visibility into their individual lifetime values of when they deploy capital and basically their conversions post-Chrome 36 -- we expect them to be conservative and that to put a further pressure on that, call it, if you will, subsegment of our distribution business in the third quarter and probably, leading into the fourth quarter, which is going to put pressure in. So although we would like to call the third quarter as the bottom, I think that distribution remains under pressure, and we have seen monthly sequential declines through the second quarter. So I'm not ready to put a stake in the ground. And I think in this current dynamic, it doesn't serve us any good to predict this is the low. But we're certainly doing everything that we can to make it that way.
Daniel Louis Kurnos - The Benchmark Company, LLC, Research Division: Fair enough. Any chance you'd like to update us then on what the percentage of distributed is from DLA relative to the, I think, 40% to 45% that we had -- you had initially posted?
Eric M. Emans: Yes, it's not a number we talk about publicly, but I will tell you, it has dropped from that. And the thing I would say is it is a meaningful portion to our distribution, but it has definitely come down significantly from where we were before. But we have not updated that number and don't have plans to do so.
Daniel Louis Kurnos - The Benchmark Company, LLC, Research Division: Okay. And then, just last for me, just on the E-Commerce side so I don't spend all my time on Search. It looks like not just -- not only the margin enhancement, but particularly the gross margin enhancement you got in the quarter, understanding the challenge on order volume, if you could just give us some thoughts on to what -- where you got some traction on growth?
Eric M. Emans: Yes. Obviously, we've gone through some transitions there with leadership and also we're very much in real time diagnosing the various levers we can pull within the business, and we tried a lot of things. And I think in the second quarter, we tried some things that did benefit that gross margin line. And I would say some of it, it has to do with -- relates to a little bit of our discounting promotions, as well as a little bit around just product mix. And so ultimately, it's translated to an improvement, if you will, in contribution margin year-over-year or the absolute dollar contribution margin. And I think it's just a manifest of a lot of different things we're trying to improve, and gross margin is certainly something we're focused on. And I would even say, further than that, given some of the market inefficiency challenges we have, we really look at that business on a contribution margin basis and are looking for things that will impact that in a positive way.
Operator: Our next question comes from Gil Luria with Wedbush Securities.
Gil B. Luria - Wedbush Securities Inc., Research Division: You talked about monthly declines in Search throughout the second quarter. How about July? Did July continue to decline over the previous -- over June?
Eric M. Emans: So let me clarify one thing. I was talking specifically, Gil, there -- this is Eric, Gil. Thanks for the question. Let me clarify. Specifically talking about the sequential declines we saw in the quarter really related to our distribution business. And in fact, we've seen some traction in growing our owned and operated business through the second quarter. But I will say that the distribution trend remains challenged going into July, but we also saw -- also some sequential growth on our owned and operated side going into July. So it's a bit of a mixed bag. And quite frankly, as we talk about stability, certainly, we want to find the bottom on distribution and turn that into sequential growth, but we also like the stability of concentrating our business a little bit more towards where we actually own the end-user customer relationship and that's certainly [indiscernible] there for WebCrawler and certainly, a lot of the thesis behind HowStuffWorks and the content asset that, that is. So a little saw -- continuing to see sequential declines, but only on the distribution side going into July.
Gil B. Luria - Wedbush Securities Inc., Research Division: Got it. And then on the E-Commerce side, you have a new leader there. Your guidance implies sequential growth, you talked about trying a few things during the quarter. At what point are you going to be ready to communicate a broader strategy of how you return the business to higher growth rates? How much time are you going to give the new leader to establish that strategy?
William J. Ruckelshaus: Gil, this is Bill. Given that he's been on board for a few weeks, I think we'll give him a little bit more time, but certainly, there's not a lot of education that needs to take place. Bernard is somebody who's spent most of his professional career in and around this space, and we're already seeing the benefit of that. So I imagine on future calls, we can provide more insight as to what it is we're trying to do and try to shape what the strategy is going forward and what to expect in more detail. But this particular call, we wanted to give him a hall pass.
Gil B. Luria - Wedbush Securities Inc., Research Division: And finally on tax. The new forms that have -- the IRS has published for health care that some of us are going to have to fill out, look fairly complicated like a pretty decent extension to the tax form. Is there an opportunity for you to charge for those forms the same way you, incrementally -- the same way you would charge for state, incrementally, if you have the opportunity -- or e-file, if you have the opportunity?
Eric M. Emans: Gil, this is Eric, I'll take that one. I would say that, yes, the forms have recently come out and we're digesting those. And always with DDIY, the focus is on making sure that the tax filers don't perceive to -- complexity in their return, and this will be an opportunity for us to prove that we're good at that again. As far as charging for it like we would state, I think it's too early to certainly give any kind of pricing strategy. But I will tell you that the value of the team is really, really -- that is part of the federal tax process and therefore, we haven't, in the past, employed form-based pricing on a federal side. And I don't see -- we don't look at that as an opportunity to take pricing. But rather, another way to offer enhanced services to our existing base and our growing base of tax filers.
Operator: Our next question comes from Brian Fitzgerald with Jefferies.
Stan Velikov - Jefferies LLC, Research Division: This is Stan Velikov for Brian. Can you give us more color on how the HowStuffWorks acquisition fits into your broader strategy?
William J. Ruckelshaus: Yes, this is Bill. Happy to take that one. So we're pleased to welcome the team. We really like what HowStuffWorks is doing. It is an adjacent asset. It's a content property that is now being delivered across all device types in digital. They've been around a long time. They have a tremendous eye for creating content themselves. It's not really so much network based at this point as it is original content created by their team. And it falls into about 11 or 12 different categories, and the opportunity that we see there is to really extend the owned and operated footprint we have in Search into more of a content model where you tend to see higher levels of engagement with users. And also, in the process, it opens up more avenues for advertising models, be they search or nonsearch that can give us some diversification and additional ways to grow. And it was something that we came across and pursued very aggressively. It had been -- HowStuffWorks had been operating inside of Discovery since 2007. And the more that we got to know the business and got to know the team, we got really excited about the opportunity. So we are busy at work and integrating the business and identifying areas where we can make investments that haven't been made over the years, and we're really going to see it as a catalyst going forward.
Operator: Our next question comes from Scott Schneeberger with Oppenheimer.
Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division: I missed on the tax segment guidance and so one of the numbers tripped me up in there. Could you repeat that and qualify the time period, please?
Eric M. Emans: Yes. I mean I think the easiest way -- Scott, this is Eric, the easiest way to talk about it is for the year, we're looking at $103 million to $103.5 million top line and about a 47% segment income margin. So the back half of the year, we're going to lose money, which is typical for us outside of tax season and those losses will be more heavily weighted towards the fourth quarter as we ramp up for tax season.
Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division: Got it. And Eric, what was the 55% margin you noted? Was that EBIT or -- EBITDA or EBIT, and was that just for the first 6 months of the calendar year?
Eric M. Emans: Yes, that's correct. And it is -- we call it segment income, but yes, EBITDA is the right way to think about that.
Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division: Fair enough. And so just framing it year-over-year, this guidance, it looks like you're looking for a kind of stable revenue guidance in the low to mid-single-digits then. And then, how should we look at margin year-over-year? I don't have those numbers in front of me. Is that an expansion or fairly consistent, that $47 million?
Eric M. Emans: You're talking to...
Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division: Full year.
Eric M. Emans: I want to make sure you're not getting ahead of me, you're thinking '13 over -- or '14 over '13?
Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division: Yes, yes, yes. For this -- yes, for the -- yes, exactly.
Eric M. Emans: Yes, actually, we did expand. We grew year-on-year about 13%, 14% and expanded margins, call it, 2.6%.
Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division: And then yes, next question, going forward for the next year, what -- how does that compare, what type of expansion you looking for?
Eric M. Emans: I think I'm going to reserve comment on that. I mean we're in the midst of our plans, planning and wrapping that up. And I think we'll give a little more clarity on that a little further into the year.
Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division: Fair enough. And then just following up on the ancillary offerings within tax. Could you give us a little bit more color on -- it sounds like you had some success with the revenue generated on those. Could you elaborate a little bit on, specifically, which products and what were the levers you pulled?
Eric M. Emans: Yes and no. I would say that we don't break those out specifically. I will say that we saw improved attach rates in general on our bank products. And then, we've also -- saw increased contribution and attach on audit. But we don't really break those numbers out specifically, but those are the headlines.
Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division: Okay. And then lastly for me, on TaxACT Express. Just a kind of initial year here. What were some of the takeaways -- tablet as well. What were some of the takeaways, what you saw, what challenges, what can -- what are easy improvements and how happy were you with what you saw and expected?
Eric M. Emans: Yes. I think as we -- we talked about improvements. We'll reserve comment there. But look, I think, a good mobile experience, tablet or smartphone, is just table stakes right now, and we're very excited with what the team has come up with in last 2 years. And although it represents a very small contribution to our revenue and segment income results, we are seeing increased downloads and we are hearing good things about our product and its experience. And so we like the progress we're making there. I think it's a place you have to be and a place you'll continue to see us invest in.
Operator: Our last question comes from Mitch Bartlett with Craig-Hallum Capital.
Mitchell O. Bartlett - Craig-Hallum Capital Group LLC, Research Division: So most of my questions, I guess, have been answered. Just looking at Monoprice, though. I'm still a little confused. You talked about traffic being down, and I'm just wondering, maybe at the 60,000-foot level, you could just talk to what changed there? Has the value proposition for the customer weakened in any way? Or where was -- and part of that strategy, I think, was that you were eventually going to put a little juice in on the marketing side yourself. Could you quantify the traffic decline and whether you instituted any marketing above and beyond what was originally there?
William J. Ruckelshaus: Yes, Mitch, this is Bill. So I think just for clarification, the declines that we referenced were with respect to order volume, but I'll just assume that that's one and the same to address. So the Monoprice is -- what we liked about the business last year when we did the acquisition, and we continue to like, is the value they're bringing. And it's largely premised around feature parity in key product categories that are actually quite broad and deep as well as price advantage and wrapped with great service. And the order volume falloff, we think, is something we're spending a lot of time looking at and certainly, Bernard, who's newly aboard, is going to help us get to the bottom of. The evaluations are really centering around the price advantage in the key categories and are we holding up in a market environment that often times includes shipping as it relates to the overall assessment as to comparative pricing. That's something that just takes a lot of vigilance and instrumentation to make sure that in the categories that really matter to you that, that advantage is holding up. And then the second thing is I think as it relates to the company's growth over the years, it broadened their assortment and in moving into certain categories that actually have less purchase frequency inherently. And so you end up with comps that are a little difficult as those mix shifts take effect. And so, that's sort of 2 insights I would provide. But generally, we're extremely excited about the strength of the Monoprice franchise, the appetite at the Blucora level to invest in Monoprice is still there. And certainly, we want to make sure that we're executing day to day in exactly the right way, such that the return on that marketing spend is going to be there and really, I think, that's what Bernard's going to help us do very quickly.
Operator: We have a question from Alex Paris from Barrington Research.
Joseph D. Janssen - Barrington Research Associates, Inc., Research Division: It's Joe filling in for Alex. First question for Eric, and I apologize, I've been jumping between calls, so you might have addressed this. But I heard your comments within Search in terms of guidance. You talked about Q4 revenue being similar to the high end of Q3. Did you address margin expectations?
Eric M. Emans: We basically said that the high end of both revenue and segment income -- and look, I think that this is a very dynamic environment, and what we're trying to do is give some color on kind of a relative range of where we think the fourth quarter can fall out. We'll certainly update you guys at our next call on where we -- with that. But we wanted to make sure that people understood that it is very dynamic right now and that as we think about the fourth quarter and investors think about the fourth quarter thinking about the high end of third quarter is the right way to be thinking about that rather than maybe some of the historical trends that the business has done in 2013 and '12.
Joseph D. Janssen - Barrington Research Associates, Inc., Research Division: Okay. And then, Bill, for you. I don't know if you addressed this either. But thoughts -- share buybacks, did you do any in the quarter? I think you still have repurchase outstanding. And given valuations now, would you -- could we assume you'd be a little more aggressive in buying back stock?
William J. Ruckelshaus: So without making any predictions in that regard, you can see in the second quarter that we did take advantage of the authorization. The authorization was actually increased during the period. I think Eric spoke to the remaining amount. But we like the flexibility that, that provides us. We've talked in the past about employee equity dilution being a focus as it relates to share repurchases. And certainly, having that flexibility going forward and we just need to balance the use of capital in that direction versus other directions like acquisitions, and that's something -- those are determinations we make on an ongoing basis.
Operator: Our next question comes from Matthew Galinko with Sidoti.
Matthew Galinko - Sidoti & Company, LLC: Just curious if you see potential -- I guess, further investment acquisition for content originators under the InfoSpace brand?
William J. Ruckelshaus: So I would say that HowStuffWorks has plenty of room to grow. And so most of our investment efforts over the foreseeable future will be around bringing that business out of its prior owner, which we're nearly complete doing. But then also, just optimizing it, which I think we have a ways to go before that's done. And we also think there's some interesting touch points with the InfoSpace search business that we're going to take advantage of. But we like that area and we like HowStuffWorks, and we think there's a lot of upside potential.
Operator: This ends the Q&A session and the call for today. Ladies and gentlemen, thanks for participating in today's program. This concludes the program. You may all disconnect.